:
Operator: Thank you for standing by, and welcome to NetScout’s first quarter fiscal year 2009 operating results conference call. At this time, all participants are in a listen-only mode. Later, we will conduct a question and answer session. Instructions will be given to you at that time. As a reminder, this conference call is being recorded. With us today is NetScout’s President and CEO, Mr. Anil Singhal. He is accompanied by NetScout’s Chief Financial Officer, Mr. David Sommers. Also with Mr. Singhal is NetScout’s Director of Investor Relations, Ms. Cathy Taylor. At this time, I will turn the call over to Ms. Taylor to provide the opening remarks. Ms. Taylor, please proceed.
Cathy Taylor: Thank you and good afternoon everyone. Welcome to NetScout’s first quarter fiscal year 2009 conference call for the period ended June 30. In terms of the format of this call, Anil will begin with an overview of our financial and operating results, and David will follow with a review of our financial results and company performance in greater detail. At the conclusion, there will be opportunity for questions and answers. Before we begin, let me remind you that during the course of this conference call, we will be providing you with a discussion of the factors we currently anticipate that may influence our results going forward. Such statements are forward-looking statements made pursuant to the safe harbor provisions of Section 21E of the Securities Exchange Act of 1934 and other federal securities laws. These forward-looking statements may involve judgment and that individual judgment may vary. Forward-looking statements include expressed or implied statements regarding future economic and market conditions, our guidance for fiscal year 2009, and our product integration plans. Actual results could differ materially from the forward-looking statements. Risks and uncertainties which could cause actual results to differ include the company’s revenue, profitability and growth and delivery and market acceptance of NetScout products. It should be clearly understood that the projections on which we base our guidance and our perception of the factors influencing those projections are highly likely to change over time. Although those projections and the factors influencing them will likely change, we will not necessarily inform you when they do. Our company policy is to revive guidance only at certain points in the year, such as during the quarterly conference call. We do not plan to otherwise update that guidance. Actual results may differ materially from what we say today and no one should assume later in the quarter that the comments we make today are still valid. For further discussion of the risks and uncertainties that could cause our projections not to be achieved include the specific risks and uncertainties that are discussed in NetScout’s Form-10K for the year-ended March 31, 2008 on file with the Securities and Exchange Commission. And now, I will turn the call back over to Anil Singhal, our Chief Executive Officer.
Anil Singhal: Thank you, Cathy. We are happy to be reporting another strong quarter, and we have started our new fiscal year on a very solid footing with good revenue growth and strong profitability. Following the merger with Network General, this is our second full quarter of combined financial results. GAAP revenue was $60.6 million, more than doubling last year’s first quarter. Non-GAAP revenue was $65.4 million, up 134% year-over-year. Non-GAAP revenue excludes the fact of purchase accounting adjustments, representing the fair value of Network General’s deferred revenue. The GAAP profit for the quarter was $1.5 million, or earnings per diluted share of $0.04. On a non-GAAP basis, net income was $6.6 million, or $0.16 per diluted share. Non-GAAP net income excludes share-based compensation expenses, amortization of acquired intangible assets, and integration expenses and related income tax adjustments. Both our GAAP and non-GAAP profitability were stronger than expected, because we underwent costs and expenses principally associated with the integration of the sales force and manufacturing operations. David will go through the details of our expense fixture later, but we do not expect these expense under-runs to continue in future quarters as we continue to invest to drive the growth of our business. Overall, we are quite pleased with these results as our first fiscal quarter is typically seasonally slow. In addition, we completed the first full quarter of fully integrating the two sales forces without a major impact on order flow. We saw healthy order flow coming from our high-end vertical markets, which are telecommunications, government and more importantly, financial services. These good results are encouraging, despite the challenging economic environment and particularly the slowdown in the financial services sector that we hear about on a daily basis. We have not yet seen any significant cutbacks in spending for our products we believe, because of the high value our customers derive from our integrated packet flow-based product solutions. Nevertheless, we remain cautious about the potential impact on IT-spending in the near term, resulting from the uncertain economic outlook in the financial services in particular. Accordingly, we are reiterating our previous full-year revenue guidance. However, we are raising our full-year EPS target by $0.05, due to the strong profitability in Q1. The integration of our two companies has proceeded smoothly and is now essentially behind us. We have successfully combined organizations, including all internal systems and business processes, and we have completed consolidation of our manufacturing operations ahead of schedule. At the beginning of the first quarter, we integrated our two sales forces, which was the last major step in our integration process without major disruption. Our product integration plan is on schedule, including the release of our first integrated product in the second quarter and the availability of the fully-integrated solution later in the year. This is the fulfillment of the investment protection promise that we made to our customers after the merger. Looking ahead, we are focused on taking advantage of the market opportunities which lay ahead by expanding our solution to address other areas of IT management, which include expanded offerings for some of our vertical markets, as well as extending our value proposition to other areas of IT operations. Our packet-flow based solutions have become the mainstay for managing the modern IT networks and we are confident about our position as a market leader in the ever-increasingly important network management space. With that, I would like to turn the call over to David.
David Sommers: Thank you, Anil. Our quarterly financial results are in the financial statements which are part of our earnings release. We are reporting our results on a GAAP basis as well as on a non-GAAP basis. To summarize, we have removed the GAAP purchase accounting effects of the merger with Network General, by adding back revenue related to deferred revenue revaluation, and we have removed the cost and expense of various acquisition-related items. In addition, we have removed the GAAP effects of stock-based compensation, which significantly increased as a result of the acquisition. I will give you the specifics about the difference between our GAAP and non-GAAP earnings as I discuss our results. The adjustments to GAAP revenue cost and expense are disclosed in the reconciliation table in the financial tables attached to the press release. We believe these adjusted financial measures will enhance our overall understanding of our current financial performance and our prospects for the future. We use these adjusted financial measures internally for the purpose of analyzing, managing and forecasting our business. Our first quarter GAAP revenue of $60.6 million is up 117% year-over-year and up 5% sequentially, resulting from organic growth and the second full quarter of financial results following the merger with Network General. Non-GAAP revenue was $65.4 million, up 134% year-over-year and up 2% sequentially. Non-GAAP revenue excludes $4.8 million purchase accounting adjustment to recorded fair value the acquired Network General deferred revenue. Product revenue on a GAAP basis was $34.9 million, up 99% year-over-year and up 4% sequentially. Service revenue on a GAAP basis was $25.7 million, up 147% year-over-year and an increase of 7% sequentially. First quarter results from a year ago do not include contributions from Network General’s business and are not therefore fully comparable to the current first quarter. GAAP net income for the quarter was $1.5 million, or earnings per diluted share of $0.04. GAAP income from operations was $4.0 million. On a non-GAAP basis, net income was $6.6 million, or $0.16 per diluted share. The following items totaling $8.3 million are adjustments to arrive at non-GAAP net income calculation. The purchase accounting adjustment to record at fair value the acquired Network General deferred revenue of $4.8 million was added back to GAAP revenue. Amortization of acquired intangible assets of $1.5 million, which was principally from the Network General acquisition, was removed from GAAP cost and expense. Non-recurring integration expense of $124,000 was removed from GAAP expenses, as was share-based compensation of $1.2 million. To calculate non-GAAP net income, we used the statutory rate of 38% to tax effect the $8.3 million total non-GAAP adjustment amount, removing $3.2 million from non-GAAP net income. These adjustments are summarized in the reconciliation table included with the press release. The provision from income taxes represents an effective tax rate of 34% on a GAAP basis and 37% on a non-GAAP basis. The non-GAAP tax expense rate is calculated by taking the previously-calculated GAAP rate of 34% and tax effecting the non-GAAP adjustments of a statutory 38% rate, resulting in an overall non-GAAP rate of 37%. Our GAAP gross profit for the quarter was $45.3 million. GAAP gross margin was 75% in the quarter. On a non-GAAP basis, gross profit was $51.4 million, and non-GAAP gross margin was 79%. Gross margin was up from the prior quarter because of the lower content of lower margin legacy Network General products; and because we achieved some of the cost improvement potential from the integration of manufacturing operations in Q1. We made the following adjustments to non-GAAP gross profit $4.8 million was added back from revenue; we removed $66,000 of share-based compensation expense; $1 million of amortization of acquired intangible assets; and $240,000 of non-recurring integration expenses. GAAP income from operations was $4 million. Non-GAAP income from operations was $12.3 million. We made the same $8.3 million adjustment to reach non-GAAP income from operations that I described above. Now turning to key balance sheet measures. Cash and short-term and long-term marketable securities were $109.8 million, up from $100.9 million in the previous quarter. The increase is due to strong cash collections from the high proportion of product shipments early in the quarter. Our long-term marketable securities include investments and auction rate securities valued at $31.8 million. As of June 30, 2008 the value of these securities includes a temporary decline in value of $1.7 million, below par, to reflect liquidity concerns. We have classified these securities as long term on our balance sheet and recorded the temporary decline in value to accumulated other comprehensive income and loss on the balance sheet. Accounts receivable, net of allowances were $26 million compared to $32 million last quarter. Day sales outstanding were 39 days for the quarter based on GAAP revenue. This is down from 52 days in the prior quarter. Using non-GAAP revenue, DSOs were 36 days. Our DSO of 36 days is the result of strong collections during the quarter and seasonally low maintenance renewals. Inventories we're $12.6 million, up from $12.1 million in the prior quarter. Inventory levels continued to include the cost of product in deferred revenue. Operationally the in-sourcing of Network General’s manufacturing in NetScout’s facility in Westford has gone smoothly without any major impact to inventory. Going to other metrics, revenue contribution from direct customers was 43%. Reseller revenue was 57%. Revenue from international sales was 24% of total, down 32% last quarter. Europe, Middle East and Africa were 11 points, Asia at 7 points of the total. Americas, outside of the US was 6 points. The main drivers of international business outside the US as before are wireless service providers and financial services sectors. Summarizing our large deals for the quarter, 116 customers gave us orders over $100,000, including 22 customers with orders over $500,000 and five orders over $1 million. Two of the million-dollar orders came from investment banks, two from the government, and one from a wireless service provider. In our verticals market this quarter, we had strong bookings coming from the financial services sector with 28% of dollar order volume, government sector was up with 22% and telecommunications was 13%. Medical sector was 9% and high-tech followed with 6%. Now to guidance. As Anil mentioned earlier, we're reaffirming our revenue outlook for the 2009 fiscal year. The guidance remains unchanged from last quarter. Our revenue guidance for fiscal 2009 recognizes the challenging economic environment and its potential impact on IT spending and the introduction of new integrated products to the market in the upcoming quarters. We recognize these changes could cause business disruption and we're taking into account a normal customer lag in new product adoption as we make these product transitions. For the fiscal year 2009, we expect GAAP revenue to be in the range of $250 million to $260 million and non-GAAP revenue to be in the range of $260 million to $270 million. We're raising our GAAP and non-GAAP earnings per diluted share range by $0.05. During the first quarter, profitability was stronger than expected due to cost and expense under-runs, principally associated with the integration of the sales forces and manufacturing operations as previously mentioned. GAAP net income per diluted share guidance is $0.13 to $0.23. Non-GAAP earnings per diluted share guidance is $0.55 to $0.65. The fiscal year 2009 non-GAAP revenue and net income per share estimates exclude a purchase accounting adjustment to fair value of approximately $11.5 million of Network General’s deferred revenue. They include amortization of acquired intangible assets of approximately $6 million, integration expenses of approximately $1.7 million, and share-based compensation expenses of approximately $4.8 million. That concludes our financial discussion this afternoon. Thank you for joining and we look forward to taking your questions. Christie, would you go ahead please?
Operator: Thank you. (Operator instructions) Your first question comes from Jonathan Ruykhaver with ThinkPanmure.
Jonathan Ruykhaver – ThinkPanmure: Well, congratulations on the quarter. Can you give an update on the plan for the rollout of the integrated products? What do you ship today and what is on the horizon?
Anil Singhal: We are shipping the standard product from both the companies right now, with the promise of a free upgrade in the next quarter with the first step of integration, and actually sometime this quarter and in the next quarter with a fully-integrated set. So basically, anybody who is basically signed up for maintenance has a software upgrade because they are buying the support contract is eligible for that combined integrated solution.
Jonathan Ruykhaver – ThinkPanmure: Okay, so that is regardless of how old the product is that they are paying the maintenance on?
Anil Singhal: Yes. Basically that was part of the promise we made at the time of selling, that basically, that part of the road map we are going to be providing the integrated solution and which will have the combined functionality of the two products so they can continue buying our products.
David Sommers: Let me just clarify, if I may. That is part of our standard practice with our maintenance agreements to provide that sort of software fray, we are continuing that practice, and as we go through in developing integrated products.
Jonathan Ruykhaver – ThinkPanmure: Okay. I guess when you look at the integrated product, it is going to begin shipping and how do you manage and take it into account when you give guidance for the pause that might occur as new customers hold out purchase today in the expectation of the new or integrated products?
Anil Singhal: Okay, first of all the new integration is like, new features which are ongoing every year, and so people don’t hold off purchases generally because unless they need that one feature right away, and some of those things could happen, but we had a fairly robust set of features in each of the products already and instead of buying those features in two separate products, now you will be able to use it in one product. So we have really not seen any big pause in spending as a result of this because they are getting more than what they expected when they bought it.
Jonathan Ruykhaver – ThinkPanmure: Right. Okay. And on a separate topic, you have talked about what you see as an opportunity in the emerging and wireless market. And you have mentioned Sprint initiatives on the part of Sprint around WiMax. Who else is out there on the mobile network side that you might be active with, and where do you think that vertical could go over time as a percent of sales?
Anil Singhal: I think it could be – over the next years, this could be a very big portion of our vertical could be as big as financial, we do not know for sure, but in terms of the customers, we have all the top providers in the U.S. and almost all the major ones in Europe and Asia, doing some form of business with us. How big the penetration is going to be in the coming year, that remains to be seen, but we have been talking to almost all the major players internationally, as well as in U.S. and working closely with them to see what they need for the future. So in terms of access to some of these people, I think it is quite good, but it remains to be seen how far we can go into those accounts moving forward.
Jonathan Ruykhaver – ThinkPanmure: I guess specifically today, you have seen actual deployments of your products for those wireless networks, or is that still waiting to happen?
Anil Singhal: Yes. Everyone is – all the people I'm talking about, all the major carriers and the major service providers in –- wireless service providers in U.S. as well as some of the major ones in Europe are using our product in one form or the other right now.
Jonathan Ruykhaver – ThinkPanmure: Okay. So that is included in the carrier vertical currently then?
Anil Singhal: Yes. That is right, and when it is a carrier vertical, I mean, I dominated by the wireless service providers.
Jonathan Ruykhaver – ThinkPanmure: And then I guess in the carrier vertical, you know, there is architecture that is referred to as ATCA or Advanced Telecom Computer Architecture. That is something you need to adhere to, to do business with those carriers?
Anil Singhal: No, we have some other requirements like DC power and all those and yes, there are some standards, but no nig requirement in terms of what we need to do or whatever technology need to do in those places. But yes, there are some compliance requirements, there is like I said a DC power type requirement, but most of that has been in place in the product for quite some time. The big things are as people are moving to IMS or for new standards for wireless service providers, we need to keep up with those feature set and that is what we are working on right now.
Jonathan Ruykhaver – ThinkPanmure: Right. Okay I guess just one final question. Can you give us the total headcount for direct reps?
David Sommers: Total headcount as of now is about 114.
Jonathan Ruykhaver – ThinkPanmure: 114, and is that going to remain fairly stable for the rest of this year or –-?
David Sommers: Well, we expect to grow that slightly, over the next months and quarters.
Jonathan Ruykhaver – ThinkPanmure: Okay. That is all I have and congrats again on the quarter.
Anil Singhal: Thank you.
Operator: Your next question comes from Eric Martinuzzi with Craig-Hallum.
Eric Martinuzzi – Craig-Hallum: I have a question about the pro forma revenue growth. You commented that it was 2% sequentially. Do you have a comp for us from a year ago, sort of a – and I know that Network General was on an off-cycle quarter but can you just sort of ballpark it?
David Sommers: Revenue was up, Eric. We are not going to be reporting or talking about the comparable because it is so uncertain as to what that really was in the –- adjusting everything pro forma, so we are not doing that, but it was – I think it was up. How much up I am not sure. Sorry I can’t help you more.
Eric Martinuzzi – Craig-Hallum: And then as far as the one product goes, I mean – very pleased to see the revenue number that you guys have posted here but as we shift to the one product from – the one appliance from the two appliance, my concern is that the good growth that we are seeing here in fiscal 2009 that tapers off, so it is almost like, we shouldn’t get too aggressive with growth projections, you know, those of us who are responsible for sort of looking out beyond 2009 would sort of –. Can you give any color as to how you guys are thinking about the business in beyond –?
Anil Singhal: Jonathan, first of all, the one appliance or two in place has no impact on how the business is going to be in the future. In the past, as for any given link, our business is proportional to the size of the network and installation and in any installation either people will buy the Network General product or NetScout product. They were not – I mean, in 90%, 95% of the cases, never buying both the appliances on the same link or same network. So the number of appliances is still going to be of the same order of magnitude in terms of the requirements, and so when we are going from two appliances to one appliance, we are just telling them which one to use, not necessarily that they would have bought two appliances. In fact, they wouldn’t have bought either one because they want the best of the both worlds. So I believe as a result of the combination, certainly the number is not going to come down, but probably will increase because the cost of ownership is going to come down.
Eric Martinuzzi – Craig-Hallum: Okay. And then last question on the gross margins. You had a terrific quarter for gross margins. I have it at 78.6% on a non-GAAP calculation. Now given that you have integrated the manufacturing centers, is that number stable with your mix issue in June that we should, you know is there a reason that we shouldn’t be able to project that forward?
David Sommers: Well, there was a mix issue I mentioned briefly. We had very strong benefit from next versus legacy NetGen and we can’t guarantee that that is going to continue that strong as we go forward in shipments in the near-term future. We would expect, however that that strong gross margins as we complete them and the financials start to show the benefit of the manufacturing integration, and as we improve the value proposition of our products as Anil’s laid out, that gross margin will be higher than we had projected previously in our model , which was 78% margin targets. And we will be taking a look at that now that we got a good base of – more stable base of financial performance after Q1 and talking with all of you about new financial models going forward. But I would expect that you will – that with some variations you see gross margins in the high end of our previous range or slightly above.
Eric Martinuzzi – Craig-Hallum: Okay, thanks.
Operator: Your next question comes from Peter Jacobson with Brean Murray.
Peter Jacobson – Brean Murray: Can you provide me with the rough breakout percentage-wise of financial services carriers and government for the quarter?
David Sommers: Yes. Financial services were about 28% of the order flow, carriers were 13%, government was 22%. Carriers were down slightly from prior quarter. There is nothing much to read into that, we comment regularly that quarter-to-quarter fluctuations are more an artifact of what deals came in in this quarter versus last quarter than they are the item or the sales or trend. If you look at the trend over multiple quarters, or over years perhaps, you will see a more meaningful – make that a more meaningful statistic, but those were the numbers, Peter.
Peter Jacobson – Brean Murray: Okay, and the commentary regarding financial services that you haven’t seen an impact, but it still remains a risk. Are there any indications from customers that they might be more cautious in the upcoming quarters that you are specifically getting in your interaction with them? Were they more general comments based on what you see outside of your own business?
Anil Singhal: Not overall. Yes, they are generally more cautious and there are places where I think PO’s [ph] have been held up, but in large number of cases where we did business, we found that people have already made the investment in the infrastructure, which is the building, data canter, as well as Cisco or Juniper infrastructure, and they were almost obligated to make the remaining investment in management to really utilize that properly. So we are at that point on many projects, which are really not impacted by the slowdown.
Peter Jacobson – Brean Murray: Okay. And can you describe the Network General next in the quarter between their legacy products and their newer products and kind of how that trended in the quarter and your comment on – you had a mixed benefit – I'm not quite sure why is that shifted towards a higher mix of newer products? Actually, maybe that is clarification is –? Are the margins higher on the legacy products or on the new products and why would it shift back in the other direction in the future?
David Sommers: So our margins are higher on the NetScout legacy products and on the new products that are being introduced, than on the legacy Network General products. As we had mentioned in prior discussions, we have phased out some of the smaller Network General products that had lower margins, but some we satisfied in the quarter, some customer requirements for those products and we have also mentioned I think that the – you will remember that we had pretty good visibility going into the quarter and that meant we had some legacy from before we started with the new integrated sales force approach. This quarter we had some pimped-up orders for legacy NetGen products that were urgent. And those we fulfilled in Q1. So there was a swing toward more – despite that, there was a swing away from the legacy NetGen products to the legacy NetScout products at higher margins, and some of the new product, as we repackaged them in the quarter. So that is what caused the margin – the mix change. Again, we terminated some old NetGen products, we fulfilled some legacy from Q4, but in general, it was more NetScout product mix in the quarter, and then again, there was some benefit in gross margins from the improvements that we made in manufacturing by in-sourcing the NetGen manufacturing. I hope that helped, Peter.
Peter Jacobson – Brean Murray: Okay, yes. And just a follow-up on the dynamic at the end of last quarter where you have some shipment delays associated with getting a large number of orders. Would you characterize that as giving you a significant fast start in this recent quarter and how is it going into this quarter as far as, do you have a similar dynamic as far delayed shipments that might be helpful in the current quarter.
David Sommers: We said last quarter we had pretty good visibility, I think very good visibility going into the quarter. We have good visibility going into this quarter, this September quarter.
Peter Jacobson – Brean Murray: Similar to last quarter?
David Sommers: Well, the June quarter was always our seasonally weak order flow quarter, and so we expect less strength in Q1 and particularly with the anticipated newness of all the things that the NetGen sales force was going through as we integrated the sales forces. And we saw some of that weaker order flow. So not as good as before, but good.
Peter Jacobson – Brean Murray: Okay. And then, finally, can you maybe characterize what you are seeing competitively lately and also any developments with the HP partnership.
Anil Singhal: Yes. Under our HP partnership, I think we continue to see a lot of interest, there is nothing new to report at this point. On the competitive front, I think we have several big players in the service provider area, and nothing new again but we have not talked about it and we have not reported competitively on that, because we are really going on their turf and it is sort of they are competing with us in a way because we are new in that area, but there are several four or five, I guess, big players. On the enterprise line, we continue to receive some competition, but typically from much smaller players and that is all built into our estimation numbers.
Peter Jacobson – Brean Murray: All right. Thanks very much.
David Sommers: Thank you.
Operator: Your next question comes from the line of Manuel Recarey with Kaufman Brothers.
Manuel Recarey – Kaufman Brothers: Good afternoon and congratulations on a good quarter. Can you talk a little about the EMEA region? It was down sequentially, failing nicely there. Are you seeing a particular weakness there, or what was kind of driving that?
David Sommers: Well, Manuel, we see fluctuations regularly. I think if you take a look back at our historical quarters, you will see that and you will notice that all over it is hard to tell because the March quarter was our first combined fully combined quarter. We had unusual strength in Europe in the March quarter and so what happened was not so much that Europe demand declined as we had a very, very strong close to our fiscal year in Europe in March. You probably remember that we did some things with the NetGen sales force to make that their final quarter at five month quarter and that allowed a lot of sales reps to bring in business, incented them to bring in business and that dynamic was particularly strong in Europe for no particular reason having to do with the market but more having to do the richening of deals and how that all worked. So we expect Europe and International in general to grow as a proportion, and we would not say that the decline from 32% to 24% of International business, most of which was in Europe, as you pointed is an indicator and I know we don’t have much trend with the combined company to point to but I think you will see that continue to grow as a share of overall, particularly as we penetrate the wireless carriers outside the U.S.
Manuel Recarey – Kaufman Brothers: Okay. So you are not seeing any weakness that some other companies have reported in the month of June, they kind of saw a slowdown in the EMEA region. You are not necessarily seeing that?
David Sommers: No, you shouldn’t read that into the numbers, not so that we can tell.
Manuel Recarey – Kaufman Brothers: Okay.
David Sommers: No weakness that we can see.
Manuel Recarey – Kaufman Brothers: Okay. The government it seemed like it was up nicely, so kind of the diabolics of that is continually a strong spending by the Federal Government?
David Sommers: Well, most of our government spending, not all, but much of it is defense-related, military-related, and that has continued pretty strongly. We haven’t seen an impact of that, so yes, our government business is continuing to – had continuing interest from – and growing interest an increasing of the federal government and NetGen had a very strong presence in the federal government, so that has helped us.
Manuel Recarey – Kaufman Brothers: Okay, thanks.
David Sommers: Thank you.
Operator: Your next question comes from Alex Kurtz with Merriman.
Alex Kurtz – Merriman: Hey guys, thanks and congratulations on another good quarter. This is both to Anil and David. (inaudible) already seems pretty good in the quarter, deferred revenues pretty stable. It seems in general that your customer base is not showing any signs concerned about spending with NetScout. I know you made some comments in your prepared remarks. Could you give us a little more color about your conversations, especially in the month of June with your customers and sort of what is their temperature as far as spending throughout the rest of the year, whether it is with NetScout or in general?
Anil Singhal: Yes. Overall we are not seeing – I mean we see cautious spending but we are not seeing any changes, big changes from what we had in March versus in June, but I think overall what is happening to our business is we have been talking for a long time, even prior to the merger the importance of what we do in terms of solving some of the most important problems. And I think more and more of those problems are getting into the mainstream and many more people are having those problems and we are in the best position, even better position to address it now with the combined technologies, and the second big factor is because of the expanded leadership position and the expanded and broader install base of the combined company. We just have access to more such people and so when you look at those two factors, they basically transcend many of the other issues which other companies might be seeing, and that is why we feel more confident about our guidance and our business moving forward.
Alex Kurtz – Merriman: Okay, thank you and as a follow up on the wireless telecom vertical, it has been down as a percent of total sales I believe for the last couple of quarters, but obviously is the big opportunity for you. Is that just a factor of the lumpiness in that business and should we start to see that pick up as we go out throughout fiscal 2009?
Anil Singhal: Yes. I think you are going to see it up and down like that and definitely in that area there is a lot more (inaudible) than anything else. David, I don’t know whether you have any other idea.
David Sommers: No. I think that is right. You will see big swings depending on the size of deals in relation to our total revenue and sometimes deals are large, unlike our financial services vertical, where we can get significant deals, but they are typically not as large in relation to our total revenue. So when we don’t have a huge deal, huge meaning multiple millions, from a wireless carrier in a quarter, then the percentage will be lower, and when we do, it will jump up and I think you will see that volatility in that number going forward.
Anil Singhal: So moving forward (inaudible) looking at over a – on a yearly basis with (inaudible) very early. It could be a better indicator of the trends and the size of each vertical.
Alex Kurtz – Merriman: And just as a follow-up question on your order size, looks like you had some pretty large orders in your March quarter and then sort of declining deals over $100,000; $500,000; $1million, how should we read that?
David Sommers: Well I think the way to – first of all, Q1 is always seasonally weak and because of the dynamics that we mentioned earlier with our Q4 and special Q4 with the merger, there was a lot of draining of the big-deal pipeline. Despite that, we had a good quarter in Q1, but it was, as you pointed out, the big deal flow was down significantly. That is a seasonal issue we believe that it is probably exacerbated by the fact that we had great incentives in place, and pretty good stability in place for the sales force in the March quarter and wet stability in Q1. So all of the factors sort of contributed to do that. So our large deal content of the revenue and the order flow as you pointed out is lower in Q1, but we don’t expect that that is a secular trend, that is a seasonal issue.
Alex Kurtz – Merriman: So that should pick up as we go throughout the year?
David Sommers: We would expect that, yes.
Alex Kurtz – Merriman: Okay, and David, just a couple of follow-up questions for you, what was cash flow from operations in the quarter?
David Sommers: We will get that number for you, not on the top of my head, but hold on, I will take the next question while we are—
Alex Kurtz – Merriman: Then, what is the content of the auctionary securities, what do they consist of and I will stop there for a second.
David Sommers: Okay. We have six positions, I'm probably not going to list the exact positions for you here but there are six positions ranging from about $4 million apiece to $8 million apiece in six different state agencies, all of them backed by the federal family loan education program of the federal government and all AAA rated student loan programs. So without going into exactly which issues we have, they are all pretty much in the same category and they are all still paying interest on the – according to prospectus, you know, default rates and still and any liquid.
Alex Kurtz – Merriman: Okay. And we can get the cash flow from operations I guess later.
David Sommers: It is $11 million.
Alex Kurtz – Merriman: Okay. And what was CapEx in the quarter?
David Sommers: CapEx was $1.3 million and depreciation was $1.9 million.
Alex Kurtz – Merriman: And just two more questions for you, Dave. Just talk on this question about your visibility going into the March quarter was pretty strong and I think earlier on the call you said it was a similar type of visibility.
David Sommers: I said it was visibility going into the June quarter from March was very good, visibility going into this quarter is a little less good.
Alex Kurtz – Merriman: Okay.
David Sommers: But still good.
Alex Kurtz – Merriman: Okay. And then just finally on the margin question. If you could just clarify, I understand there is a mix, it seems like one-time mix shift issues. Could you just clarify that point again and how we should think about the next couple of quarters?
David Sommers: Yes. Okay. I will try again. I think my last effort for Peter was a little convoluted. So we have legacy NetGen products that are lower margin. We discontinued some of those, although some of that shipment continued in Q1. We have of course the legacy NetScout products that we continue to ship and we have repackaged the products and put out a new price and with some improved margins as we did so. In this quarter we had a higher content of legacy NetScout products and some content of the new products and a little less of the legacy NetGen products and that mix shift caused much of the margin swing. We cannot guarantee that that is going to continue going forward, because there is no content of legacy NetGen products in our order flow.
Alex Kurtz – Merriman: When would you expect the legacy NetGen products to exit the price list?
David Sommers: Well, they have already exited the price list. Customers can still the functionality, but the new price list has sort of repackaged them. So they have exited the price list already, but they haven’t exited the order flow yet.
Alex Kurtz – Merriman: (inaudible) those products till you exit the order flow?
David Sommers: That is right. They got quotes in process and we do our best to accommodate those quotes and process and deal with that.
Alex Kurtz – Merriman: Okay.
David Sommers: So that will take a little long for the (inaudible) to go through that pipeline.
Alex Kurtz – Merriman: All right. Congratulations and thank you guys.
David Sommers: Thank you.
Operator: Your next question comes from Scott Zeller with Needham and Company.
Scott Zeller – Needham & Co.: My questions have been answered, thanks.
David Sommers: Okay, Scott, thanks.
Operator: Your next question comes from Sanjit Singh with Wedbush Morgan.
Sanjit Singh – Wedbush Morgan: Hi, guys. I am calling in on behalf of Rohit Chopra. Couple of quick questions. In your script, you mentioned that you plan to extend your value proposition into other areas of IT operations. Can you maybe give us some detail on what those areas would be?
Anil Singhal: I think there are – we are not going to talk specifically about which areas but our product can be used by security folks, can be used by application people, market traders could use the information which we have and the field service people could use our products for similar things. So we think that we are sort of reaching a point where multiple audiences within the IT organization can simultaneously use the data we create or generate, and as a result, I think there will be a lot more collaboration and interest on what the value we are providing and that will allow us to be deployed in more places and hence more appliances and more revenue.
Sanjit Singh – Wedbush Morgan: Got it. And then on the Riverbed alliance, could you guys describe what opportunities you guys are seeing, is there any maybe timing in terms of sort of sales and revenue opportunities?
Anil Singhal: I think that it is too early right now, we are almost like in the data trial site stage right now. That means we have created a prototype and done some integration, but the customer has really not started using it. So right now, we are not counting on any big opportunity in this area for a while.
Sanjit Singh – Wedbush Morgan: Okay, and then finally, the mix between direct and indirect, direct was a greater percentage this quarter. Is there anything, you know, can you maybe describe what the drivers behind that was? I think direct looked like, I think it was 4357 this quarter?
David Sommers: Yes, I think direct was a lower number, right?
Sanjit Singh – Wedbush Morgan: Right.
David Sommers: So that has been consistent with our direct-indirect split in the past, they bounce up and down again, sort of big deal driven. Our legacy, we have legacy relationships with some large customers who like to do business with us directly, new relationships as we build them typically are often through resellers and then the relationships grow, we may have customers who say, I don’t want to go through a reseller anymore, I want to go through the direct. So those are sort of the nature of the dynamics that we see and in any one quarter, in any one geography, you can see some of that. Our drawdown in International, most of our International business is indirect, obviously affected that proportion, direct-indirect.
Sanjit Singh – Wedbush Morgan: Thank you guys. Good luck.
David Sommers: Okay, thank you.
Operator: Your next question comes from Aron Honig with Canaccord Adams.
Aron Honig – Canaccord Adams: I just had a couple of quick questions. Are you seeing any of the sales cycles lengthening, are you seeing any extra steps to get a deal approved?
Anil Singhal: I think we have not seen a big change but as I said whenever the spending is cautious it does delay the cycle but we are really not seeing a big change in that either in the last three months.
David Sommers: We are sort of a lagging indicator of that, have been historically because of the length of our sales cycles. So what we close in the June quarter, we really will work it on last fall or before, and when something gets that close, it typically, unless it is a real slam into the wall (inaudible) customers buying, it doesn’t get any rare. So we are not the best one to ask about indicators for tax spending, because we tend to see it later than others do. And Anil explained some of the reasons why that is but the sales cycle and the length of those is one of those reasons. And so we can’t really tell. You know, if you start a sales cycle now, it has a closed (inaudible), you don’t know whether it is going to be short or long, so sorry, we are not much help there.
Aron Honig – Canaccord Adams: Okay. And how about with the new products coming out, what do you think your inventory levels go to? You know they picked up sequentially in the last few quarters? Where do you think it will land?
David Sommers: Part of in our discussions we have pointed out that (inaudible) puts in the inventory is the inventory for products that are in deferred revenue. You may remember that our deferred revenue, product revenue jumped up over the last couple of quarters, because we have actually delivered products to a couple of customers that we haven’t recognized as revenue. When we do that, the cost of those products remains in inventory. So as we recognize the revenue on those products, those shipments to customer, that inventory number will come down. We also expect that that inventory number will come down, turns will go up as we get through this integration period and we don’t expect that there is going to be a big jump in inventory because of the product transitions, because essentially, we designed that as Anil mentioned so that it is basically consolidation of product, not an expansion of product, of platforms going forward. I hope that helps.
Aron Honig – Canaccord Adams: Okay, yes. That helps. And last question from me, you had an operating margin goal in the high-teens. It looks like you hit that pretty easily this quarter. Is that – do you have a new target goal or is it that for the whole year?
David Sommers: Well, we don’t have a new one yet, but we don’t think that margin expansion is done and we will do some more now that we have a more stable base of financial performance and understanding of the way the business is going to operate on a combined and we will be talking with you more about that.
Aron Honig – Canaccord Adams: All right. Thanks. Thanks for the questions.
David Sommers: Okay.
Operator: And there are no further questions.
David Sommers: All right. Well, thank you all very much for coming to our conference and for a very good set of questions. We look forward to talking with you again at our next quarterly conference. Good night.
Operator: Thank you. This concludes today’s conference call. You may now disconnect.